Operator: Ladies and gentlemen, thank you for standing by. And welcome to the Salesforce Fiscal 2020 Fourth Results Conference Call. At this time, all participants are in a listen-only mode. After the speaker presentation, there will be a question-and-answer session. [Operator Instructions] Please be advised that today’s conference is being recorded.  And without further delay, I would like to hand over the conference to your speaker, Mr. Evan Goldstein, Senior Vice President of Investor Relations. Sir, please go ahead.
Evan Goldstein: Thanks, Ian. Good afternoon, everyone, and thanks for joining us for our fiscal 2020 fourth quarter results conference call. I am Evan Goldstein, Senior Vice President of Investor Relations. Our results, press release, SEC filings and a replay of today's call can be found on our IR website at salesforce.com/investor. With me on the call today are Marc Benioff, Keith Block, Marker Harris, Co Founder and Yasir Anwar; Mark Hawkins, our CFO; Bret Taylor, our COO and Amy Weaver, our Chief Legal Officer. As a reminder, our commentary today will primarily be in non-GAAP terms. Reconciliations between our GAAP and non-GAAP results and guidance can be found in our earnings press release. Some of our comments today may contain forward-looking statements, which are subject to risks, uncertainties and assumptions. Should any of these materialize or should our assumptions prove to be incorrect, actual company results could differ materially from these forward-looking statements. A description of these risks, uncertainties and assumptions and other factors that could affect our financial results are included in our SEC filings, including our most recent report on Form 10-Q. And with that, let me hand the call to Marc.
Marc Benioff: All right. Well, thank you, Evan. And congratulations on your promotion, Evan. We are thrilled too. 
Evan Goldstein: Thank you. 
Marc Benioff: And thank you everybody for being on the call today. As you can see from our results we had an incredible fourth quarter, capping off another record year for Salesforce. Revenue in the quarter rose to nearly $4.9 billion, up 34% in the constant currency. Truly amazing for a company of our size and for the full year we delivered $17.1 billion in revenue, up 29% in constant currency. Now based on our exceptional fiscal year 2020 results, we're raising our fiscal year 2021 revenue guidance to $21.1 billion at the high end of our range, representing about 23% projected growth year-over-year. And no other company of our size is growing at this rate. We're also reiterating our long-term revenue target for fiscal year 2024 of $34 billion to $35 billion and that's doubling our revenue again in four years making us the fastest enterprise software company to reach this milestone. And as we continue to deliver a record revenue year in and year out, we're committed to balancing this growth with very strong cash flow and incremental operating margin improvement. Now before I continue, I want to say a few words about Keith. Now as you've read by now he's stepping down as Co-CEO. Keith is an incredible leader and close friend who has helped position us as a global leader and deeply strengthened our company. We're surely going to miss Keith around here. Keith joined almost seven years ago and together we've grown Salesforce into a company that is the envy of the industry. I am especially grateful to Keith for his service to Salesforce and I'm absolutely delighted that he will be staying on as an adviser to me. Now as we continue to build on our fourth quarter and our year. Our time together has been amazing. I'm his biggest supporter. I am his close friend. I am here to help him on his journey and as he begins this new journey, we are all with you, Keith. And we're all very excited for you. Now Keith, I know this goes without saying, but you will always be part of our ohana. I also want to express my gratitude to our entire ohana; people ask me all the time how is it possible to achieve our rate of growth and success. And to me it's quite simple. It's our core values of trust, of customer success, of innovation, of equality. And I'd like to thank all of our customers from around the world for their incredible commitment to our company and their belief in our vision for Customer 360. I'd also like to recognize an incredible executive in our Ohana, Gavin Patterson. Our friendship with Gavin has spanned more than a decade. During his time leading BT where he served as their Chief Executive Officer. And I'm delighted to announce that Gavin has accepted the position of President and CEO of Salesforce International based in London. Gavin is an incredible global leader. A member of many groups that we have been associated with for many years including the World Economic Forum. A very close friend and I could not be more pleased to welcome Gavin to Salesforce. We're in the midst of a huge wave of digital transformation and it's only getting bigger and every one of these digital transformation begins and ends with a customer. Every CEO we meet around the world is deeply committed to transforming their business around their customer. And the reliant on Salesforce is their trusted digital adviser. We're the number one CRM provider. We are leader in sales and service and marketing and commerce and platform and analytics and integration. So many more.  Our clouds are the key building blocks of Customer 360 along with the powerful platform services including security and mobility and AI and voice and blockchain and more. What makes Customer 360 so powerful? Is that it unifies and manages all the data not just within Salesforce, but from almost any data source to deliver a complete 360-degree view of your customer. It's a single source of truth that results in one-to-one journeys for customers across retail stores and commerce sites, email and messaging, call centers, field serve. In fact, across every customer interaction and every industry and Customer 360 is the only platform delivering this unique capability, enabling the single source of truth and with our recent acquisition of Tableau, we're turning Customer 360 data into actionable insights that are available to every user helping them to move from data to decisions. I'm especially excited by the success of Tableau and how well we're doing together. Adam Selipsky, the Tableau CEO and his team are doing an incredible job and it's clear that customers recognize tableaus value, see and understand all the data in Customer 360 throughout their whole enterprise. And MuleSoft has continued to perform beyond expectations. It's become incredibly strategic to so many of our customers and we're so thrilled with the progress of their team. We've been leading innovation around CRM for more than two decades. We started the company as a system of record. We've evolved into a system of engagement and then a system of intelligence and now we're pursuing a system that is a single source of truth. In fact, when you look at some of these incredible accomplishments like Einstein, well in Einstein in Q4 it powered more than 11 billion predictions per day, up 6 billion from just a year ago. No other company is delivering this level of intelligence and it's absolutely critical for us as we head to our own Holy Grail the single source of truth for all of our customers, the knowledge of their customers connecting with their customers in a whole new way. I'm also thrilled to share the news today that we signed a definitive agreement to acquire Vlocity. Vlocity has been a phenomenal partner for the last six years delivering industry-specific clouds and mobile solutions for the world's top companies, all built natively in the Salesforce platform. And Vlocity and Salesforce have been closely connected with our values. The company is committed to customer success and giving back through pledge 1% right from the very beginning. The work we've already done together with our customers has been extraordinary and with this acquisition will be easier than ever for us to deliver powerful industry solutions to our customers by every vertical. And I'm absolutely looking forward to welcome in my old friend and the CEO of Vlocity, David Schmaier and the entire Vlocity team to ohana later this year. I'm proud of what our Ohana has accomplished in fiscal year 2020 and over the last 21 years. Salesforce is living proof that stakeholder capitalism works when we value all stakeholders. Yes, we've delivered phenomenal returns for our shareholders more than 4,000% since we went public in 2004. But we've also delivered fantastic returns for our stakeholders. $330 million in grants to worthy causes. Our employees have delivered 4.9 million hours of volunteerism, 46,000 nonprofits and NGOs use our software for free. And we're the number one contributor to our local San Francisco and Oakland public schools, as well as to the homelessness crisis right here in our native San Francisco. We have achieved net zero gas emissions globally. We've delivered a carbon neutral cloud to our customers and we're committing to reach 100% renewable energy for global operations by 2022. Because the planet is a stakeholder. This is how we've grown from a pioneering idea to a company headed towards $35 billion in fiscal 2024 known for our culture and committed to giving back a scale and executing on stakeholder capitalism. And it's why I so strongly believe that when we serve all stakeholders business is the greatest platform for change. Our commitment to all stakeholders is one of the reasons that Fortune is ranked Salesforce as one of its 100 companies, 100 best companies to work for the 12th year in a row. We're also very proud that Fortune has named Salesforce as one of the Top 10 most admired companies in the world. And one of the best workplaces for giving back. And just this week, Atmosphere named Salesforce one of the most ethical companies for the 11th year. And it's why together with our partners and customers we're creating millions of Salesforce related jobs around the world. According to IDC, the Salesforce economy will add 4.2 million new jobs by 2025 impacting global GDP by over $1.2 trillion. And this is what we mean when we say that business is the greatest platform for change. And that's why I've never been more excited about our opportunity ahead for Salesforce to deliver success to all of our stakeholders including our shareholders and I'm sitting here with Parker Harris, my Co-Founder and CTO. And on March 8th which is just two weeks from now, Salesforce will celebrate its 21st birthday, is that right Parker?
Parker Harris: That's correct, Marc.
Marc Benioff: When we first showed up at 1449, Telegraph, Hill Boulevard or was it Montgomery Street? On Telegraph Hill and started Salesforce and we're excited Parker to have you of the call today.
Parker Harris: Thank you for having me, Marc.
Marc Benioff: And with that we'll turn it over to Keith.
Keith Block: Thanks Marc and thank you very much for those kind words. It's been my greatest honor to be part of Salesforce over the last seven years. When I first joined the company in 2013, we were generating $4 billion in revenue. Amazingly about the same amount that we just delivered in this last quarter. And now we are a global enterprise company guiding to more than $21 billion in FY21 with a focus on industries and speaking the language of the customer. We have the markets leading enterprise software ecosystem and we are now the trusted advisor for digital transformation for CEOs all over the world. It's a tremendous accomplishment but I am ready to start a new chapter. I'm very grateful to our employees, our customers, our partners and certainly this community, our investors. And working side by side with you Marc as well the rest of this great management team has been one of the most fulfilling experiences of my career. I will be forever grateful for our friendship. So I appreciate that. And I'm very proud of the incredible growth trajectory the company is on. I'm excited that I'm going to be working together with Marc in my role as an advisor. So I'm grateful for that as well. This quarter and year have really been a capstone of my time at Salesforce and now I'd like to share some of the impressive highlights from the quarter. In Q4, we grew 32% in the Americas, 28% in APAC and 47% in EMEA in constant currency. Now that includes our recent acquisitions. And at the close of FY20, the number of Salesforce customers spending $20 million annually grew 34%. Let me share a few key examples of the strategic relationships that we been building with our customers in these markets and how we've become a trusted digital adviser across industries, geographies and segments. Volkswagen Group, the number one manufacturer of cars in the world is partnering with Salesforce to transform how they deliver personalized experiences to their dealers, employees and end consumers. Leveraging Salesforce, Volkswagen will have a 360-degree view across their 12 brands. It's pretty incredible. A single source of truth for customer engagement. Transformation is also one of 3M's top strategic business priorities and over the last several years we've been partnering to transform how they serve their customers. Part of that strategy 3M significantly invested in our Customer 360 solutions in the fourth quarter to increase productivity, drive business growth and enhance the customer experience. St. James's Place, the UK's largest wealth manager also expands its relationship with Salesforce significantly. SJP is going wall-to-wall with Salesforce leveraging financial services cloud, Einstein Analytics, MuleSoft and more, all to transform how their advisors engage with clients. And many of our existing relationships in Europe deepened as well including with Enel and adidas. Now APAC. We had an outstanding quarter driven by remarkable growth in Japan where we deepen our relationships with Toyota and Mizuho Financial Group. And we continue to strengthen our relationship with Telstra, Australia's largest telco. In the fourth quarter, our industry vertical solutions continue to deliver tremendous value to customers and as Marc said, Vlocity will be an incredible addition for building out the industry solution. So I think we're all very excited about that. In healthcare, Cerner chose health cloud to power their client 360 project and they're also partnering with us to sell Salesforce to their healthcare clients. Financial Services also showed strong momentum in the quarter, longtime customer Farmers Insurance added financial services cloud and Einstein Analytics to empower their agents to deliver even more responsive and personalized experiences to their 15 million policyholders across the United States. We began a new relationship with Canadian Imperial Bank of Commerce, CIBC and expanded with many of the top banks in the US and around the world including Goldman Sachs, Banco Bradesco, Banco Santander and ANZ Bank. Deluxe went wall-to-wall with Salesforce to improve customer insight, ignite innovation and drive toward its goal of selling all products and services to all customers. Deluxe also partnering with Salesforce to offer Salesforce Essentials. The world's number one CRM product purpose-built for small businesses to its approximately 4.5 million customers. As we continue to highlight our partners play a critical role in our customers' transformations and are investing more in Salesforce to drive their own growth. In Q4, Deloitte expanded their use of service cloud in sales cloud and made new investments in Quip, Analytics Einstein and my Trailhead and our partner ecosystem continues to thrive.  In Q4, the number of new partners with apps on the Salesforce app exchange increased 44% year-over-year and app installs exceeded 7.5 million. As you know, in Q3, we concluded the largest acquisition in our history with Tableau. As Marc said, we're pleased with how well Tableau has performed over the year and certainly in Q4. Tableau had significant wins including three of the world's biggest brands in the internet and retail spaces two of which are at the top of the Fortune 100. And Toyota, Enel and Volkswagen all chose MuleSoft by the way in the quarter to unlock data and accelerate their digital transformations. So in closing, it's been an incredible privilege to work with an amazing group of people here at Salesforce. It's an extraordinary inspirational company that truly, truly lives its values. More important in this world today than I think ever. And I have no doubt that Marc and this amazing Salesforce team will continue to deliver customer success and serve as a beacon of light and a leader in the industry. So again, I want to thank our employees, our customers, our partners and certainly our investors for your support. So with that I'll turn the call over to Mark Hawkins.
Mark Hawkins: Well, great. Thank you, Keith. And Keith, I can't thank you enough for your partnership, your leadership, your friendship and your support since I joined the company. Fiscal 2020 was another important and busy year for Salesforce. We launched one of the most significant product initiatives in the company's history with Customer 360. We acquired Tableau, the largest acquisition in our history which enables our customers to see and understand data. We welcome Salesforce.org expanding our vertical strategy. We unveiled and expanded several strategic partnerships including AWS, Microsoft and Alibaba to better serve our customer. And we accomplished all this while sustaining organic top line growth and producing another year of strong financial performance driven by our values, our discipline and our focus. Here are a few of the financial highlights for Q4 and fiscal 2020. Q4 revenue grew 35% in dollars and 34% in constant currency. Excluding the impact of Tableau and Salesforce.org, Q4 revenue grew 22%. For all of fiscal 2020, revenue grew 29% in dollars and 29% in constant currency. Excluding the impact of Tableau and Salesforce.org, fiscal 2020 revenue grew 23%. Q4 CRPO grew 26% in dollars and 27% in constant currency, and again, excluding the impact of Tableau and.org, Q4 CRPO grew 20%. Our portfolio of industry-leading products continues to deliver strong year-over-year subscription and support revenue growth in Q4. Sales Cloud grew 17% or approximately 14% excluding the contribution from Salesforce.org. This compares to a year-over-year growth rate of 11% in Q4 of last year. Service Cloud grew 26% or approximately 22%, excluding the contributions from ClickSoftware and Salesforce.org and this compares to a year-over-year growth rate of 22% in Q4 of last year. Platform and other grew 74% or approximately 30%, excluding the contribution from Tableau and Salesforce.org and this compares to a year-over-year growth rate of 54% in Q4. Keep in mind; last year's results included revenue from the acquisition of MuleSoft. And Marketing and Commerce Cloud grew 28% or approximately 24%, excluding the contributions from Salesforce.org. This compares to a year-over-year growth rate of 34% in Q4. Again, keep in mind the Marketing Cloud revenue benefited from the acquisition of Datorama. So while M&A benefited the growth rates for each of the clouds year-over-year, our organic growth rate by cloud remains very strong and have even accelerated year-over-year in some cases. Lower revenue attrition also continued to support our growth in Q4 and for the full fiscal year with dollar attrition continuing the downward trend we have seen for the last several quarters. And I'm very pleased to share that the revenue attrition for the year is now currently below 9%. This is a historic low for Salesforce. This continuous improvement reflects the ongoing shift of our business mix to enterprise and the international markets, which inherently have longer contractual relationships and lower attrition rates. Turning to operating margin. Q4 non-GAAP operating margin was 15.4%, down 110 basis points year-over-year. As discussed last year, our Q4 non-GAAP operating margin reflects the timing of Dreamforce in Q4 versus Q3 last year as well as the timing of integration and other investments in Tableau. For the full year we delivered non-GAAP operating margin of 16.8% down 24 basis points year-over-year, but coming in higher than our expectation largely due to the overall revenue outperformance. Excluding the impact from M&A, our organic non-GAAP operating margin is consistent with our initial guide from last year of approximately 125 to 150 basis points. Q4 GAAP loss per share was $0.28 and this loss was unfavorable compared to our expectation due to the incremental tax cost associated with integration of acquired operations and assets. Q4 non-GAAP earnings per share was $0.66. Turning to cash flow. We had very strong cash collections in Q4 which drove operating cash flow of $1.6 billion, up 23% year-over-year. For fiscal 2020, we delivered $4.3 billion of operating cash flow, up 27% over last year. CapEx for this year was $643 million. We continue to see scale benefits from CapEx with CapEx as a percent of revenue now approximately 4% and that's down from 4.5% of revenue last year. Free cash flow defined as operating cash flow less CapEx was $1.5 billion in Q4, up 29% over last year. And for fiscal year 2020, free cash flow grew 32% year-over-year to $3.7 billion. Remaining performance obligation representing all future revenues under contract ended Q4 at $30.8 billion, up 20% year-over-year. Current RPO which is our business that is billed and unbilled and expected to be recognized as revenue in the next 12-months was $15 billion, up 26% year-over-year with Tableau and Salesforce.org contributing approximately six points of growth to this amount. Before I move on to guidance as Marc described, we're excited to be expanding our industry offering with the acquisition of Vlocity. We are acquiring Vlocity for approximately $1.33 billion in cash net of Salesforce's ownership in the company. The transaction is expected to close during the fiscal second quarter and we expect approximately $50 million in revenue contribution during fiscal 2021. Additional details in the transaction can be found in our recently filed 8-K. Now turning to guidance. As a result of our Q4 performance, we are pleased to raise our Q1 revenue guidance by $50 million to $4.875 billion to $4.885 billion or 30% to 31% growth year-over-year. We're also raising our fiscal 2021 revenue guidance by $200 million to $21 billion to $21.1 billion or approximately 23% growth year-over-year. With the advantage of our predictable and recurring revenue model along with our expanding product portfolio and an increasing traction in enterprise and in our geographies as Marc mentioned, we remain on track to deliver $34 billion to $35 billion in revenue in fiscal 2024.  This long-term target represents a four year CAGR of approximately 20% at the high end of the range and is consistent with the durable growth we've been delivering year after year. For Q1, our fiscal 2021, we expect to see CRPO growth of approximately 23% to 24% year-over-year. We expect to deliver fiscal 2021 non-GAAP operating margin of 18.1% which represents approximately a 125 basis points of expansion year-over-year driven by continued improvements in organic operating leverage which is partially offset by the margin headwinds and tailwind related to recent M&A. We expect fiscal 2021 operating cash flow growth of approximately 20% or better than $5.1 billion, which reflects continued strong cash generation, partially offset by the cash headwinds from the acquisition of Tableau. For fiscal 2021, we anticipate CapEx to remain at approximately 4% of revenue. We expect fiscal 2021 GAAP alluded EPS of $0.12 to $0.14 and non-GAAP diluted EPS of $3.16 to $3.18. Now our GAAP and our non-GAAP EPS assumes that OIE is a net expense of approximately $5 million for fiscal 2021 and our non-GAAP tax rate of 22% which is down approximately 50 basis points primarily due to higher projected research and development credits. Please recall that our OIE and EPS guidance assumes no contribution from mark-to-mark accounting as required by ASU 2016-01 and lastly as a reminder the full financial impact of velocity acquisition is factored into our guidance today. To close, we've delivered another year of strong financial performance highlighted by organic, durable, top line growth and excellent cash flow generation. Further in a year where we closed the largest acquisition in our history and further expanded our products and industry offerings, we are pleased with our ability to deliver a consistently reported non-GAAP operating margin percent. This level of sustained and balanced growth at our scale is unprecedented in enterprise software industry.  Closing, I'd like to thank our employees, our customers, our partners and our community and our shareholders for their continued support. And with that let's open up the call for questions. 
Operator: [Operator Instructions] The first question is from Phil Winslow from Wells Fargo.
PhilWinslow: Hey. Thanks. How's your day? Congrats on the close of the year. And Keith, really enjoyed working with you, looking forward to see where your path takes you. Just want to focus in on the sales cloud. I mean you mentioned your acceleration in several clouds and that's the one that really jumped out to us, we've seen in the past couple quarters seeing a 17% this quarter. Could you double click on what's really driving it? I mean that's the highest growth rate we've seen in sales cloud for four quarters now. And also maybe talk about how Vlocity will figure into that too. Thanks.
KeithBlock: Yes. Sure. A couple things that in terms of the sales cloud, the thing that I could tell you one is that of course the acquisition of .org added a few growth points. I think we said four growth points, but if you think about 13% growth without that it's a strong growth rate. We're very pleased about that. I think one of the things that you see is the balance of our offering. The continued innovation, CPQ, AI, I think a number of factors have just made this a very, very welcome and competitive product. I don't know, Bret, if you want to add some comments.
BretTaylor: Yes. I also think it's really important to understand while sales cloud is the product that Parker and Marc created 21 years, we haven't stopped innovating. So at Dreamforce, we announced major new capabilities like Einstein Call Coaching which is leveraging the power of Einstein to enable inside sales teams to coach people to be as effective as the most effective account executives on the team. We've also continued to study a steady stream of new add-ons for customers of sales cloud things like Salesforce Maps which enables field sales CPQ which enables quote to cash; PRM which enables you to extend your sales process to your ecosystem of partners. And I would say perhaps most importantly Salesforce Essentials which is really packaging all this up and bringing it into really easy to digest, easy to deploy solution for small businesses as well. So I think that we're really focused on innovation and making sure we have a study news stream of innovation to bring to our customers in our flagship and namesake product.
Operator: The next question is from Heather Bellini from Goldman Sachs.
HeatherBellini: Great. Thank you very much for the question. I was wondering, Keith, best wishes in your next endeavors. But I was wondering, Marc, if you could share with us a little bit of the initial feedback on Tableau from customers. Has there been anything that surprised you in terms of how customers are leveraging it? And I'm also wondering to the extent you are seeing people who are obviously running it on-premise to the extent you're starting to hear customers talk about being able to leverage that data that's on-premise and bring it into your various cloud offering. Thank you.
MarcBenioff: Well, thanks Heather for that. I think there are probably three things that have really been the big surprises with Tableau. The first is just I think I've mentioned this before on public.tableau.com, if you haven't seen that site or been on there to see the incredible level of innovation and size and scale of their community that has been continues to be in a surprise. It's inspiring for us certainly when we built our own app exchange and our own community of trailblazers. I think they kind of got it beat a little bit in terms of what they've been able to do. Now they have it -- they -- I think there's another opportunity for them to monetize that in a more aggressive way to build ISVs there. I think maybe we have that part figured out. So I've been encouraging them there to take that next step. I just was up there and made amazing company. Two, the CEO is awesome and we're thrilled to have Adam as part of the team and he has fit right in kind of like our lost cousin from the Northwest that we have now reassembled into the family. So that's very exciting and to have him and three, I would say that from a customer perspective, I have never had so many customers come to me on an acquisition and immediately tell me that they want to go enterprise-wide with it. This was slowed down a little bit last year because as you know the integration was a little bumpy. But as we now get into our new fiscal year, the way that we have architected our distribution, organizations and compensation plans is to give as much throughput. And I was going to say Vlocity, but I have to take another words. I have and as much acceleration as possible because I think every customer already loves Tableau. We just had our company kickoff here last week, two weeks ago and we had a customer come from a large financial services firm to speak to our employees to inspire them and the customer spoke about how they've always loved Salesforce but they secretly never told us that they also loved Tableau so much. And that was very cool and something that we've heard a lot. So I hope that I hope that kind of informs you how excited we are about Tableau.
Operator: The next question is from Keith Weiss from Morgan Stanley.
KeithWeiss: Thank you guys for taking the question. Keith it has been a pleasure working with you and definitely leading on a high note after this Q4 which definitely seemed very strong. Two questions; one in terms of kind of strength in the overall business. Given kind of what we've been seeing over the past couple days in the stock market and with Coronavirus. Any indication that that's impacting demand at all for Salesforce heading into your guys FY21? Then a second question maybe for Mr. Benioff, with Keith leaving, is there any changes that you have to make to on the leadership structure or anything that you have to do in terms of bringing a new management to fill in for the functionality that Keith was bringing in the role?
KeithBlock: So, Keith thanks for the kind words. I'll address the first part and obviously Marc can talk about the second one. Look, I think the numbers kind of speak for themselves. And I would say that the set up, the company is clearly executing and set up for success and scaling at a great pace. So I think the future is very, very bright as they say in Washington DC, the state of the union is strong. So I think we all feel very, very confident about that. With respect to the Coronavirus, I'm sure, Marc, will have some comments on that but it's not affecting us right now. Certainly, we're concerned; we're watching to see what happens here. And we're empathetic to those who it is affecting. But overall I think where we are -- the company is in a terrific spot. And I think we're all proud of the result here.
MarcBenioff: Well, number one, I think all of our hearts go out to all of the families around the world who have been impacted by the Coronavirus and certainly the world governments and their impact to contain what is possibly going to be a serious pandemic. So we have been listening and paying attention closely to what's been happening around the world. Certainly, we've had a number of customers come to us just in our normal course of business and talk to us about how their businesses have been impacted. Those have been mostly limited to Airlines and hospitality companies who have their operations primarily in China or who have significant supply chains based in China. I think that when we've looked at architecting Salesforce over the last 21 years and as we've looked at navigating the economic crisis that we've been through before. We've been through two serious recessions. Now as we look at navigating a biological crisis. When we started Salesforce, Parker and I really built a business model that was designed to transcend these situations so that we would have durable growth over time regardless of the crises. I think that really played out in a surprising way with a level of strength in 2009, 2010 and 2011 the financial crisis. That if you look at our revenue curves, it looks like it never happened because whether our bookings are up or down one quarter or the next, the strength of our revenue model and the resulting cash flow and commitment we've had to incremental operating margin over 21 years has really paid out to have a level of durable capability for the company that I think is been unprecedented in the technology industry. And given our investors, the returns that have been so strong for them and something that we're very committed to continuing to do more than I think Mark will know 93%, 92%, what is it?
MarkHawkins: It's 93%.
MarcBenioff: 93% of our revenue is deferred. So that just gives us tremendous visibility into the future and this is a key architecture of our accounting and of our company corporation and how our relationships with our customers especially our deep contractual multi-year relationships with our customers. I think I mentioned how grateful I am to Keith and how delighted I am in his decision to move on and to a new chapter. And I will deeply partner with him and making that successful for Salesforce and for him and when I look around this management table here in this room, I'll tell you that I'm also very inspired by our team. Of course, Parker who has been by my side for 21 years could not have done it this without him. We also have our Chief Operating Officer, Bret Taylor who many of you know with his tremendous lineage at including Facebook and Google and his own private companies. Our Chief Legal Officer, Amy Weaver who is probably one of the finest executives who I've had the opportunity to work with. And our CFO, Mark Hawkins who just hit me on the side of my shoulder make sure I don't forget about him. But I also going to mention that there's two people who around the management table who are public company CEOs as well who aren't currently with us because they're traveling. One is Adam Selipsky, he is the CEO of Tableau, who is an incredible part of our management team and has provided an unbelievable value in the short time he's been here. And a new addition who's been with us as our Chairman of Europe but who has now become our President and CEO of International, could not be more excited to welcome Gavin Patterson who was the Chief Executive Officer of BT, headquartered in London and when you look at our total management team that Keith and I have built together that you have to be awfully proud of this group and I think it is the finest management team in the software technology industry maybe any industry but also our Board of Directors as part of that. I'll tell you they are phenomenal and our management team that doesn't include the people that I mentioned. We have so many amazing executives. I could go on and on. And they would love me to by the way. So I hope that answers the question. And I also want to just say [Foreign Language] Keith, which in Hawaii, we say to good friends because we know we will see them soon.
Operator: The next question is from Raimo Lenschow from Barclays.
RaimoLenschow: Keith, all the best from me as well. I wanted to double click on the vertical and progress you made this year. Vlocity is obviously helping, and maybe you can double click on that a little bit as well. But like can you speak to what you saw in the verticals this quarter? Thank you.
KeithBlock: Well, I think you know it's always been a passion of mine and certainly of Marc's that we had a huge focus on speaking the language of the customer and the importance of industries. Approximately three years ago, we launched some incredible innovation with Financial Services Cloud as well as our Health Cloud. And we had some amazing wins in the quarter associated with both of those. Now when you think about the capability of Vlocity and what Vlocity brings to the table, I mean this is an organization of people who've been in the industry for a long time. Marc mentioned David Schmaier. They have deep, deep, deep industry and domain expertise. So this will really strengthen and accelerate and broaden the capabilities that Salesforce has in the verticals. And when you really think about speaking the language of the customers and the importance of these verticals, this is where you start getting into running the mission-critical processes of a company. And as great as our strategic relationships have been, this will further deepen them. So I think it's an incredible acquisition. I think it's going to be a huge adds to the company. There's no question that our joint customers pre-acquisition view this as very, very close partners. So I'm very, very optimistic about the impact that Vlocity will have on the company.
MarcBenioff: Yes. And let me I'll just double down on that by I don't double click because I use a phone, so I don't know what to say exactly or how am I supposed to touch or double touch or but I think Keith has really inspired us to be much more committed to verticals and vertical solutions than ever before. He's going to be a huge part of the legacy here. And of course, you know about our Financial Services Cloud and our Health Care Cloud, our focus on the government, our vertical solutions team, which is also, based in Seattle near our Tableau headquarters. And now with Vlocity, well, many of these executives we have worked with and worked together with for maybe 30 years or more, we know them extremely well. We were [Technical Difficulty] with us to create this company.  I'm especially excited that David Schmaier is coming into Salesforce. He's one of the finest executives who I've worked with, and I couldn't be more excited about amplifying the vertical strategy with them. And I'm sure we'll have many more things that we'll be ready to announce that have honestly been inspired by Keith's tremendous vision and passion toward taking our incredible platform but delivering it by industry and also, as Keith said so well, in the language of our customers, which is something he's just done a beautiful job executing in the company.
Operator: The next question is from Kash Rangan from Bank of America.
KashRangan: Hi. Thank you very much. Congratulations, Keith, on a tremendous chapter in your journey at Salesforce. Marc, I have a question for you. This is obviously a really big step, and given that Keith's been running some critical functions in the company, go to market, sure, Keith was working on some $10-plus million, $100-plus million deals, and I'm curious to get your thoughts, Marc, on how you're going to be managing the transition risk with the quarterly execution going forward in the next couple of quarters, granted that Keith's staying on in an advisory capacity, but clearly, a lot has changed the last four years since he took over that critical function. And I would assume that you will be bringing onboard somebody and doing that part of the job yourself in the interim, but please help me out with those assumptions and much appreciate your response. Thank you so much.
MarcBenioff: Well, I think that Keith would be the first to say that he has built a world-class distribution team that goes across the world. When we promoted Keith to Co-CEO, one of the things that he said to me is he wanted to get out of the business of running the Salesforce. That's been something that we've worked to do. Through that, we have built an incredible distribution management team with some of the best executives in the world who are go-to-market. And I don't think you're going to find a better team who can execute on that in the same way that we have a great technology team. The other half of any software company is the distribution team. I would give both teams A plus, and I couldn't be more excited about their capability to go forward and execute our business plan.
KeithBlock: Yes, Marc, I would just add, Kash that we all work hard here but we all work hard as an executive team and a management team. And sitting around this table, one of the things that I think everybody would say is that we all care about our customers and everybody sells. It's not just one person. And I've been around a lot of go-to-market teams, as you know, and there's no question, this is the finest one in the industry. It's certainly the finest one I've ever seen. So I think what I believe is that we've got a team that is clearly executing in Q4 and ready to execute in Q1 and beyond. And it's enormously talented and motivated. So this is not about one person. This is about a machine and a culture that was launched by Marc and Parker nearly 21 years ago, and I'm very confident in their ability to continue this going.
Operator: The next question is from Brad Zelnick from Credit Suisse.
BradZelnick: Great, thank you so much. And Keith, congrats on another phenomenal run. I truly wish you the best in the next chapter, and we look forward to learning more when you're ready to share that with us. But my question is for Marc Benioff. It's a bigger picture question. Marc, I believe Salesforce is 21 years old this month if I've got my math right. And to the notion that people overestimate what can be accomplished in the near term and underestimate the long term, what are your greatest surprises relative to what you set out to do 21 years ago? And as you look forward, what do you think Salesforce can accomplish in the next 20 years? [Indiscernible] I was just going to say as a platform for change, what's the greatest impact you can hope to achieve in the next couple of decades?
MarcBenioff: Well, I'm going to turn that over to Parker Harris, my co-founder, because he's been a huge influence on our leadership, and I don't think he's been on an earnings call before and excited that he's in the room, and I feel like I need to ask him. Parker, what does the future hold?
ParkerHarris: Well, I think one of the questions was what's the biggest surprise. I think one of the biggest surprises when Marc and I started Salesforce, there was one definition of CRM 21 years ago, and that definition has evolved over the past 2-plus decades. And it's been driven by the Fourth Industrial Revolution in terms of all these new technologies, and we continue to strive to stay ahead of that trend, both with our organic innovation as well as with the incredible acquisitions that we've done to create the Customer 360 and a single source of truth. It's been our mission our entire career so far and we will continue on going forward. I'll pass it back to Marc in terms of the impact that Salesforce as a company can have on changing the world. I'm so proud of Marc personally at Davos this year and watching the story of the Trillion Trees project and the impact that we can have on the globe and what a huge vision that is. And a lot of that is thanks to my co-founder, Marc.
MarcBenioff: Well, Parker, I couldn't be more grateful to you. You've been a great co-founder and have been there every step of the way. I think that probably for both of us, we had three visions when we started the company: One was a new technology model, which the cloud that has become mainstream; One was new business model, which was selling software as a subscription; and the third was a new philanthropic model, which was our 1-1-1 model, which has evolved into our deep beliefs in stakeholder capitalism, our core values of trust and customer success and innovation and equality, our dream that the work that we do at Salesforce is repeated in values and ethics and other companies that we inspire other companies also to improve the state of the world. Those are all very important parts of Salesforce. You mentioned visions like one trillion trees, where we hope to sequester 208 gigatons of carbon over the next decade, where we've partnered with several governments, including the European governments, the U.S. government, Chinese government, Colombian government and others. These things are extremely important to us. We are in a planetary emergency. We need to be taking care of our environment. We all need to be focused on becoming net zero as companies and organizations, which Salesforce is. We all need to focus on sequestering the 280 gigatons of carbon that have been emitted into the atmosphere since 1750. We need to get all the plastic out of the ocean between before 2050, where there'll be more plastic than fish. These are important visions for the environment. We need to show how companies can unleash their good, like we talked about in the script, whether it's volunteerism or grants or working with schools or whether it's gender equality, where we're deeply committed to paying men and women equally for equal work that we believe in the equality of every human being and that we can be an example of a company at scale on how to bring our values to the world, and we can work with governments of all types. We can work with companies. And that's the mission that we have as a management team, as an executive team, that we want to build be a company that builds great products, which Parker has done, but also be ethical in our behavior and realize the power that has given us as a company as great and that we need to do that. I think that we have the opportunity to work with now so many chief executives all over the world. Keith mentioned a deal that we did this quarter, Volkswagen. And Brad and I met with Dr. Diess, the CEO of Volkswagen, as we're getting ready to close the deal at the World Economic Forum in Davos. These are important partnerships that we have to influence other companies, not just Volkswagen but the hundreds of other companies that we met, for example, in Davos, sort of that we'll meet this quarter all over the world. We hope to inspire them and influence them in these areas. This is an important part of Salesforce and what we're doing. So I would say that if I was to have the greatest surprise, it was that those three visions all came true, that we're a $21 billion in revenue this year. But for sure, we have a dream that's much greater than that. We've given guidance of $35 billion. The company can be bigger. But just building a company to do more revenue is not what we are about, nor is it what we've ever been about in this company. The deals are important. The revenue is very important. Improving the operating margin is very important. The cash flow is extremely important. The business metrics are important because it shows that you can do good and do well at the same time, that this is an important part of who we are as a company. That's at our very core. That's what stakeholder capitalism is, that we can serve our shareholders and our stakeholders. I think that that will become amplified in a world where things seem increasingly crazy. We all see what's going on in the world. There's no mystery. And Salesforce is an incredible company to take that forward. So we want to deliver outstanding business performance and shareholder return, and at the same time, we want to deliver world-class stakeholder return to inspire companies to do all of those things.
Operator: Your last question is from Jennifer Lowe from UBS.
JenniferLowe: Great, thank you. And I'll add to the course of best wishes for Keith in your next endeavors. I had two questions, but they're related, one, just a quick one for Mark Hawkins. You gave us the revenue impact for Vlocity, but I'd be curious what the margin impact from that transaction was. And then more broadly, the second part is at Analyst Day three months ago, there was discussion around taking time to digest between deals. Tableau officially, officially closed three months ago, where you got the go-ahead to integrate. Now we're seeing another acquisition. It's not as big as Tableau, but it's certainly not a small one either. I'm just curious to get an update on where the mindset is on M&A going forward from here.
MarcBenioff: Well, I think I'd really like to address that because I think we so strongly believe that we actually do need an acquisition pause after Tableau. It was, by far, the biggest deal we've ever done, significant and far more exciting than we could have ever imagined. The partnership has been incredible. And I don't think we anticipated doing even a small deal like because Vlocity is a relatively small transaction. But in our relationship with Vlocity and the way that we originally invested in the company, it created a situation for acquisition that we needed to take advantage of and which is why we have acquired it at a very attractive price because we have been partners with them from the very beginning. And this was a moment in time, I think, that we don't see some huge opportunity to do a lot more acquisitions right now. It's not something that we're working on. We're very much working right now on the execution of our business and the execution of our fiscal year 2021 business plan. We have written what we call our V2MOM, which is our business plan for the year. We have, two weeks ago, brought our executive management team together, our top 600 officers. We have presented it to them, and they we have instructed them to execute it. And we feel very good about that plan, and we feel very good about where we are. We don't anticipate any major acquisitions in the short term. And maybe, Mark, you'd like to fill in some details.
MarkHawkins: Sure. Yes, I think I totally agree with those comments. I think, also, Jennifer, in terms of the margin impact on Vlocity, without getting specific, it's obviously dilutive. When you do purchase accounting and the write-downs and such, you should think about it in that way, for sure, but we haven't elected to go specific on that one. End of Q&A
Evan Goldstein: Great. Thank you for joining us on the call today. If you have any follow-up questions, please email us at investor@salesforce.com. Look forward to speaking with you on our Q1 results call in May. Thank you.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for your participation. And have a wonderful day.